Operator: Okay. Good morning everybody and welcome to Nokian Tyres Second Quarter or First Half 2015 Results Call. And once again here in Helsinki we have a room full of investor analysts, media people. And behind the lines we have another 200 people of similar professions, also some public people, competitors and other Nokian Tyres personnel. I will continue the same practice I have had now in the past, so I will be using the materials that has been available in our website from the morning. I’m not to kind of remember every time to say which page. So, I’m going to go through but it should be straight forward. The presentation will take less than 40 minutes again the rest we will reserve for your questions. And once again I remind this room to check that your mobiles are on silent mode. Structure of the presentation is the same. I’ll start with a general overview about where the market has been and how kind of follow our scorecard looks like for the quarter and then going more, deeper into the financial performance and then dive to the business units in Russia and then finishing with the outlook. I’ll use this opportunity also to explain the other announcement that we have today with respect we have been the stock now negotiating the reduction for our Nokian plan. And once again it was a very eventful quarter and I’ll start from the Russia as that is the maybe the most interesting one. Second quarter was such as clearly worse than the first quarter was. Overall for us, even though the results such are now better in the second quarter than they were in the first quarter for us, the quarter was not that easier, the first one was, we were planning to catch up more from the first quarter. And I’ll go through the reasons, one of the reasons being the Russian market. So, GDP decline was more than twice as much as in the first quarter and then this retail slum really started to impact. The inflation has been over 8% now for the beginning of the year. And even though the Russian ruble at soft state about same throughout the quarter, it has been on the weak level. And it has actually weakened ever since. The new car sales for the quarter, we were hoping clearly better early sales for the new car sales. And I know the dual figures car saw some hope for the new car sales. And of course for us, new car sales in Russia, is the one that has a bigger impact to the winter tyre sales than for the summer tyre sales. New car sales ended up being almost 36% about the same as first quarter behind last year so, clearly a disappointment, and now the forecast from the local car industries that the new car sales will be as low as 1.55 million cars this year. We have always considered that 1.5 million is kind of an absolute minimum nowadays for the Russian markets. So, we are in a very low situation. The other markets have been of course clearly different GDP growth, about the same everywhere, new car sales quite nicely developing in most of the places. Actually Europe now has been having of course a recovery because of the quality pleasing and the rental pricing helping the economies. But now of course we end the quarter with at least with the issues with Greece and then constantly bigger concern in all industries facing the Chinese situation. When we look at the tyre markets besides the car, new car sales, in Russia decline has been about 15% to 20% in sell-out which was recent statistics for the sell-out actually has been even worse. So, sell-out decline has been over 20%. In Europe, very remarkably new tyre sales have been over 2%, so in a way kind of nice growth, small growth. But inside that growth figure it’s to be noted that there are very big structural changes so the winter tyre sales went down by 11% for the first half. So, clearly there is a shift. Of course there are some maybe, impact from the inventories but clearly the biggest impact in this figure is that the season is delaying to the second half, closer to the actual consumer season. So, what’s driving this? This trend that has been there now for quite some time already, margin stock getting thinner, the retail and wholesalers don’t come to keep inventories. But the big reason has been that so far couple of years now, the prices has been going down and when you wait one more week or one more month, you get an additional 0.5 percentage point and that is very important when your margins are very thin. We see however now that that is starting to change now because the prices are now starting to climb up, whether that’s permanent or temporary let’s see, I’ll come back to that when we talk about the raw materials. It’s to be noted however that when we now get these price increases which we welcome in the market, they don’t impact this year, because this year is kind of volume pricing has been out. This mainly impacts the volumes starting from January 2016 onwards. Nordic countries, new tyre sales up sell-in up 9%, and the sell-out is clearly much more normal than this. There are few winter tyre inventories deliveries taking this figure up, Nordic figures are quite small, so some deliveries impact this. And then, North America still flat, even though the market is clearly going up flat, tyre market reflects still this poor negative taxes that Chinese suppliers took place, last year and early part of this year, confirms the early part of this year and the huge deliveries that took place just before those taxes took place. Those are being cleared now during the summer season in North America and the situation there normalizes. And we come back to our growth you can see that it hasn’t impacted us too much. In the heavy tyre segments, we have had a good situation with our core segments, forestry has been doing well. We also believe that it will continue doing pretty okay throughout the whole year. Agri segment has been doing well but now there are some signs that there might be a bit of a decline there which is compensated partially by the upper segment that has been good but is, it’s not mining segment that has big, but it’s now returning back to the small growth. Currencies continued to impact us and not as much anymore in the second quarter because the comparative effects are also going down from the last year but we still cut quite a big impact. We had about €39 million in our net sales cumulative in the first half that has been caused by the currency exchange. We are compensated partially by the mainly North American currencies. Well, then looking at our scorecard, Nordic, nice growth. We are holding our good position there. We are actually assuming for the full year still a market share increase. We have been doing well on the sell-out when we trust, we look at those market shares, this official market share we look at the sale in figures and there because of these deliveries you see here are minus mark, I’m not too worried about that. Other Europe, we had this delay of the winter season and because of our market share being clearly bigger there, there is a decline of the first half’s market share North America huge growth and then market share capture continues there. Recent decline in sales growth sales is now almost 40% and that’s of course huge, posted both by the currencies and then the more leadings. I’ll now go through a little bit more in detail these volumes and market share development in Russia, so I said the volumes went down. It’s been 20% sell-out plus even bigger, in sell-out of course the biggest numbers of products are summer tyres. There is very little winter tyres mainly related to the new car sales has taken place in the sell-out. In the summer tyre season, actually we did very, very well. So our market share increased and then this new premium summer tyre sales surprised us positively. We’ve been capturing their market share. Overall we’ve had 50% growth in our premium summer segment and that has been helping us of course a lot. There are still lots of kind of niche points in that premium summer segment that we can in the future also capture. This gives us very good confidence going forward. We sold more premium summer tyres in Russia than the previous leader, the Western European competitor has been selling. And that was the first time, so, really, really encouraging news. In the winter tyre sales, of course the winter season there as well is moving amongst the second quarter. But then what has happened there on a couple of different things. So, first of all, the purchasing is moving more towards the B segment and C segment in this kind of situation, bit more than we were planning and estimating. Then I already mentioned in the last time that we had this timing challenge but when we came out as the market leader we came out with winter tyre prices for the season, we came out when the ruble was pretty weak in the early part of the year and then the competition typically there, probably is steady probably about one month after that. And at that time, ruble temporary strength and the price positions were at about in average about 5% lower than our price increased. And that temporary cost situation our price point moved in this kind of situation a bit further up. And that of course impacted partially the volumes for this particular season. I’m pretty sure we will now see because ruble again has weakened quite a lot we would be seeing some turning times for the competition and they need to react with their prices. Also, slight impact was from the situation I have already explained to you, how we control the situation in the market. We are very close to the customer. One of the things that we do is that if there are any delays of one or two days of quarter, of the payments, we need to assemble the customer and are discussing deliver any new increment that caused a few customers to take some volumes from somebody else. All these are temporary issues and we’ll be corrected. But this impacted into all of our volumes and being closed to being C segment, our volume based market share declined. We have estimated that our value based market share did not decline at all. So, we would not have had too much different result even with any kind of other pricing. And that resulted in clearly better than profitability naturally with our mix, mixed change there was quite drastic, the local price increases were already quite big once and then the overall resulting mix change was quite remarkable. I have used this kind of picture that then we have the overall winter tyre space and then the margins that the summer tyre is at a similar state, a little bit lower. But now actually bit, with the recent low on the summer tyre premiums, summer tyre margins are approaching the best winter tyre margins, which is once again because of our constructions there that is helping us immensely for the future. Currency impact, €38 million here negative however only €9 million in this particular quarter. And then maybe ASP interesting phenomena again in ASP, this was clearly solving now that the price declines are leveling off. There has been a price, the average price decline in the market for several years already. Now we start having kind of leveling off in that. So, in our case, we had still lower ASP but only very modest in the quarter and mainly impacted by the currency. The prices start to now stabilize themselves currency naturally impacts your prices. Every time one direction or another, this time it’s negative but then the mix took a substantial part of impact back already to the positive directs. So in this respect as well, this gives now a little bit better feeling on the ASP side looking forward. Then raw material cost continued a bit more aggressively decline than the estimated in our plans. And then the reason is of course the oil price that has paid lower, I’ll come back to this at the end when we go back to the outlook. Fixed cost neutral now, we have still a currency impact but clearly lower which reduces the fixed costs so we are at about the same level as last year. The volumes both sell volumes and the production volumes have about 10% decline, so the productivity has been also let’s say even a positive surprise how strong the productivity improvement is because typically when your volumes go down you have more challenges to get the product up. But we have been able to do 6% improvement on the product EBIT. This is extremely important also for the future and your present profitability. On the network side, even slightly better quarter than last quarter, again more than, clearly more than 100 new outlets added to the network, few more owned Vianor outlets and then the most in the partner network both in Vianor and NAD and eNTYRE network. So now we exceeded in eNTYRE, in NAD we exceeded 1,000 and together with eNTYRE we have now 1,100 outlets. Also just like the format of distributes. I’ll then move on to look at what does this mean in terms of figure wise. Well, like I said that the figures are such, we’re better than in the first quarter but still net active on the sales side 6.5% decline and then the operating profit declined about 11%, resulting that we have 19% decline in the overall operating profit for the first quarter. And this is of course part of the reasons behind our near guidance, what the profit is like. Operating profit percentage state on a good level 23.3 but still it’s over 1% less than last year because of the volumes. Profit for the period however was only 2% down, and the reasons are lower financing costs. Cash flow has been all the time kind of little better than we have planned. And we expect that the cash flow will be kind of normal good year cash flow for the year. So, if I kind of summarize, so we have a volume issue, it’s mainly caused by these two phenomena, Russian situation and Central Europe, winter tyre market moving before what we have the currency impact still working against us but then the raw materials, the productivity and the mix are clearly supporting us. And maybe few more kind of main things are that huge success on premium summer tyres and then the productivity, North American gain. Then on summary level about the business units sold, the same kind of positive trend that SUV tyres had in the first quarter had already in the last quarters of last year continued clear improvement on the profitability. We have no risk, going ahead as planned so good growth on the safe and growth in the profit will come when the season, the biggest annual season which is the winter season is over. And then of course in the first six month figures we have this cancellation of our tax dispute days impacting the figures on the profit side. And maybe few words about that tax level for the quarter was extremely low and then one operation is that we got the accrete support from the Russian authorities that we have in place at the moment. So we cut process nicely even earlier than we were estimating and that impacted us. Tax rate, in fact this is not over with the same situation as last time, we expect that they will come back at some point of time, no idea what kind of pace but at some kind of pace will most probably come back. Interesting to see whether the first two years basically are now not anymore valid whether they are still included and I’m not sure what the overall case is. The money that tax, are unnecessarily collected already against the case, it has been canceled they haven’t naturally not returned it yet. So, we have that big chunk of money there in the gas field which we are expecting back any time. When we look at the geographic split, now after all these changes you can see here the Russia and CIS naturally have been the mention that naturally the Ukraine situation is clearly even worse than Russian situation and that is taking the overall Russia and CIS figure to, that’s a low level, clearly over almost 40% decline. So the Russia and CIS only 22% now, 33% last time so huge annual change. And this is quite evenly split now to all the other areas, other Europe mainly Central European countries have kept their share. No, the list is North American growth and we are of course, we would get also support on the profitability side from the currencies. Then on the raw material 14.8 half year comparison but it is no better, there was already again an increase on the quarterly level. And first quarter was higher than fourth quarter, so there is a clear trend of increase and then we keep our estimates and for the full year impact 5%. It might be now if anything will happen we feel it might cause slightly higher than this for example if Iran returns back to the oil market, the oil prices will stay or even coffer the task. So the estimated tailwinds might increase some millions from that end. But that still is our focus. And this is how now the business unit split looks like. Clear drop of the car sales, back into car tyres share of the total sales, and that’s naturally always dilutes our overall margin because car tyres when you get the EBIT margin is forced to fairly still 28.9%. However, last time it was over 30%. So with the volumes being clearly lower, this has a clear impact in the margin, even with the mix developing extremely well. We have lots of sales plus us developing, I will come back to this where the safety increase is coming from, EBIT about same level however the EBIT margin improving, like I said that this growth will bring the profit growth during the season for us. NV Tyres nice growth, very substantial EBIT growth, but the fact here is of course that the big drop in EBIT on the passenger car tyres did not become even with this least positive development on the heavy tires. So we are now picked up to operate smaller share of the business. I think that our tyres’ EBITDA margins for the quarter they were 28.9%, this is actually the same than the first half has been, so couple of percentage point drop there. On the product side, the main thing clearly this quarter is this continued success of the summer tyres, premium summer tyres. So big size tyres on the premium SUV segment, a new for example the new car sales development in all markets, SUV cars are still gaining shares while the size of the cars are constantly increasing. And now we are filling in the product gaps for, to that segment we are benefiting, so 50% increase. If we dissolve it in our quarterly figures the summer tyre sales was 35% of the overall sales. This is most probably the highest ever or at least very close. To support the North American, continued success we are constantly filling in some of the portfolio gaps there that we have and then this is a good set of nearly improved tyres. We will continue these in the coming years also there are nice applications that we are able to deliver to the market that will further boost our market sales there. On the Magazine tests, quite silent quarter, not too much happening. The winter tyre tests will now take place mainly in the third quarter, early part of fourth quarter. We look really confidently to watch those because we have a new Central European winter tyre family that will be part of the testing. And we now own test, they have been extremely remarkable. Summarizing again, on the Russian side, new car sales very low but still the car bore itself is constantly growing. This dynamic that you can have, pretty decent summer tyre season because you’re actually not buying cars, it’s the new sign, using your old cars and then you’re consuming your tyres. Therefore the impact to the winter tyre sales will be a bit higher than for the summer tyre sales. I’d like to say that our market share for the summer tyres increased and that will go now to the second half with a pretty good inventory situation for summer tyres. Our biggest customers they have lower summer tyre, clearly lower summer tyre inventories than they have ever had. So this gives us confidence for the fourth quarter because fourth quarter is already a big summer buyer sales quarter. The difficulty with the Russia is that impossible to estimate that when this turnaround will start happening. And I’ll come back this maybe still later on. Heavy tyres remarkable EBIT profit now, we’re approaching the big considering the heavy tyres, they consider the kind of level magical level this 20% EBIT, 19.8% for the quarter. And this is clearly not yet drove, sales change was kind of seasonally was bit lower than in the first quarter full year, now it’s so far 6% of EBIT increase still even with the smaller sales almost 40%. The machine, this machine now is in a good shape. So operatively this is delivering very good results. And we see good growth opportunities for the coming years, for this business, now that the machine is in good shape. And we have some ASP decline also on the heavy tyre side, but clearly lower than the raw material decline would have come out. And here, this is a good example of the products things that we do in heavy tyres to make sure that this growth will continue. We are looking at the specific applications, almost inventing applications here that bring value added to our customers. And this is a good example, specific truck tyre, very specific one for - one specific dedicated axel in this big box, there are now different types of tyres for the different axels because all of them have a different type of usage they’re almost needed. We have now like I said about 120 outlets added to the overall network, few more equity owned one of them quite big and then those acquisitions are causing part of this growth. But then this boost of our service business is causing the bigger share of the growth. So, services revenue increased now by 8% on services where we have been doing investments 10%. So this is improving throughout the seasons that the EBIT presented are returning all the time to the better positive levels. And this is now reminder of our network starts to be very expensive. However there are in most of the markets here besides Scandinavia and Russian markets, there are still nice growth opportunities available. We have the best distribution available in the Nordics countries and in the CIS and the Russian countries. And even here in these difficult times the net focus is expanding. Okay, then moving on to the outlook. So there are few changes now in the outlook mainly related to the Russian side, where we have kept the new product sales growth in Europe at the same level but then we have updated our assumption for the new car sales in Russia. So, unfortunate situation in the second quarter that the growth did not start means that we are now increasing our decline estimation over 30% now, so, that 36% first half year means that the second half still needs to be clearly better than the first half. Currencies will stay weak against Europe they are now weakened in the last few weeks. There has been quite a strong weakening now starts to be again at the 70 rubles per Euro level. North America, Central Europe, Nordic countries, no big differences there, there was this delay but we believe that the winter market is now coming and with any kind of normal season there should be quite a good market situation for the Central Europe as well, Nordic, very, very solid. But then, we have updated this buyer market estimation for the Russia from about 20% now we estimate it’s going to decline over 20% to 25%. Raw material costs as I said we’re keeping it. However, now the likelihood that it will go little bit higher is clearly bigger than earlier. Investments at the same level no big changes here and like I said in the pricing environment has changed, we have seen now several increases from several big competitors but it doesn’t impact or doesn’t get into market, yet some positive impact coming from that quite small in terms of reduction. So, even with lower volumes, we have been kind of downgrading our own sales estimates. But our estimates are still stays clearly within the earlier guidance as well. So the next sales we’ll still keep estimation that they will decline slightly. But then the operating profit we have taken out use this absolutely core of €270 million to €295 million sold up rent stocks from the kind of present trends. But then the bottom gross amount will roll. I promised that I would also explain the action that we have started today. So we are starting the negotiations to cut down the capacity in Nokian factory, the capacity Nokian factory with the present earning is about 3 million buyers and the earnings. So we are cutting it to 2.5 million. So we see that the present situation in the Russia, CIS allows us to now go for the next one or two years, so that we can manage with the existing capacities and the planned capacity investments in Russia. Naturally we have this readiness to hit the growth with the enhancer again, if it would be materially bigger than we are estimating, then we would be able to scale back the Nokian site. But at the moment we see that the next couple of years we should be able to manage its present capacity. It’s good to be noted that we are already today we are not using the capacities what we have, on the Nokian side the last two years, we have been forced to go for this temporary layers any way to cut the capacity there. So, these negotiations will concern basically everybody else on the Nokian side except the heavy tyres. So there are about 900 people involved. The biggest part of the 250 positions, are related to the production which is clearly smaller figure out of this 900. And we are looking for getting about €8 million savings very near. The situation what we have here naturally is that because of the ruble, the cost difference between our Russian factory and Finland factory has extended and now starts to business. But we did not have any other choice but to do this particular action. This will not have kind of any real impact to our figures this year but we’ll then help our profitability side from January onwards. And then another thing that I use this session to announce is that we returned back to the Capital Markets Day, perhaps after I don’t even know how many years of absence but we have completed our strategy work. We have got even an approval for it from our partner and we are ready to come out with it. So, we are going to go through what we are planning to do in different business units overall, distribution, product portfolio and so on. And we will also talk about our promises for the market what comes to the financial targets for next three years. This session will be organized in Finland, in Helsinki due space event being of November. And you are all more than probably welcome to join us. And now we go to the questions.
A - Ari Lehtoranta: Here are the instructions. [Operator Instructions]. We start first from this room and then move on to the audience behind the lines.
Artem Beletski: Yes, hi, Artem Beletski from SEB. Maybe starting from Russia and you talked about this mix weakening towards B and C segment currently. Could you maybe update us with what kind of split you expect in terms of own volumes this year. So is it 25/75 what comes to A and B?
Ari Lehtoranta: Yes, it can take I think double volumes will be about that level, 25/75. But with the overall market is growing, so that this A and higher B segment represents a bit smaller share of the market than we were.
Artem Beletski: Yes. And the second question also relating to Russia, could you update us what is your sensitivity on ruble, what comes to basically sales and manufacturing because situation has been developing quite a bit during first half?
Ari Lehtoranta: I think that we have been saying, we say the same at the end of everything that we lose of the sale, every Euro that we lose on sales because of the Russian negative, Russian ruble development, half of which we gained back on the operating profit side. And we are still in about the same situation.
Artem Beletski: Okay. And the last one is relating to Central European situation and these price hikes which have been implemented on the market. What kind of changes you have been doing to your pricing and when these price hikes will be taking place?
Ari Lehtoranta: They are taking place while we speak. And then we are following in the same as you are, we are not the market leaders. We can follow and we will be following the market leaders. So we will be doing the similar type of few percentage points increases while we speak.
Artem Beletski: All right, thank you. That’s all from my side.
Tom Skogman: This is Tom Skogman from Handelsbanken. I have two questions, first of all simple one, what do you expect for tax rate for the remainder of this year and for the next year, now when will that Russian profits are still much smaller than they used to be, should we have different assumptions how many years you’ll have the low tax rate?
Ari Lehtoranta: Well, I estimate in the normal year and we have a kind of a normal situation on ongoing tax rate is about 18%.
Tom Skogman: And then my second question is about raw material sourcing. Historically you have said that you have had a very favorable raw material sourcing in Russia compared to what competitors that have in the West. Now when Western competitors are ramping up in Russia, and we have the products in Russia, could you just help us to understand how big benefit you have on raw material sourcing in Russia compared to buying from Western countries?
Ari Lehtoranta: I don’t think that we have said that we have kind of significant difference because this raw material markets, they are global markets. We have been benefiting from the Russian ruble because of the kind of price change prices are connected to the U.S. dollars. There is no need for point and you have a decline ruble, you benefit for the time before your prices are changed again. We have maybe little bit of benefit of having the local supply there, no big difference. So, when the manufacturing is increasing in Russia, we lose this maybe this small benefit but it doesn’t have any material impact on the figures. It would be much-much bigger impact has been last year for example from these delays more than €10 million to our bottom line because of this delay, as currency price connects. Only about 10% of our sourcing in Russia is kind of truly local.
Tom Skogman: If I could have a third question, I realized this would be the earliest you’ll publish a financial targets, layer but it’s always been striking how low the return on capital employed or return on equity has been compared to the real, the EBIT margin in Nokian Tyres. So do you have any considerations about how you could operate this business with less capital tied into the business, how release capital in the future?
Ari Lehtoranta: Yes, of course there are certain things that are maybe impacting this, these changes of the seasons and the timing of the seasons may have some impact. But I’m not going to I’m not ready to give any more details. Let’s see if we’re able to comment in the November session. The EBIT levels, with these business models we embrace all this that we get good cash flow on our EBIT levels. Okay. We don’t have any other questions in this room. So we are now ready to take questions from the audience behind the lines.
Operator: The first question comes from Mr. Thomas Besson at Kepler Cheuvreux. Please go ahead.
Thomas Besson: Thank you very much. I have few questions if that’s okay with you. And I will give them one by one. Can I come back on your comments on the Western and Central European winter tyre season and the delay you’re seeing versus previous years? Am I correct to assume that normally the business in this region is for sell-in to take place between June and August and then the sell-out depending on the timing of winter? What has changed really is that a few weeks delay you’re seeing a lower proportion of what you expected in terms of sell-in Q2? Is that what we should understand?
Ari Lehtoranta: Yes, exactly. So the timing, timing of the kind of orders were delay several weeks and then the volumes were delayed. So clearly people were trusting they will be getting cheaper products when they will be waiting.
Thomas Besson: Okay. But that’s a bit contradiction versus the announcement made by one of the market leaders, which is Michelin, to raise winter tyre prices on October 1. So theoretically they should be buying ahead of that and most of the sell-in business would in any case be done before that, right?
Ari Lehtoranta: Yes, but exactly what you said is that those price trends will take place only in October so no earlier than that. So, that allows people to still wait.
Thomas Besson: Okay, it’s clear. Thanks. What’s your assumption for the full-year Western European winter tyre market? Do you think we are going to be flat or that we could be down or that it’s entirely depending on the timing of snow?
Ari Lehtoranta: Yes, that’s exactly the situation with the Central Europe, Central Europe is the most sensitive to the let’s say the quality of decision. And of course people are applied to use the winter tyres when there is winter and not that certain time. We have now three from our point of view back seasons behind. So, if there is a normal season, then the winter tyre market will be clearly bigger than last year. But it will be once again a low season than we will see unstable or even slightly declining market.
Thomas Besson: Okay. Can I ask you to comment on what you would expect in terms of impact on the Central European winter market from the new products that Michelin is pitching that they call CrossClimate that would avoid end customers to switch tyres? What do you think of that? Do you think it’s going to materially impact the Central European winter tyre market or do you think it’s just for new clients who were not necessarily switching before?
Ari Lehtoranta: First of all they were not the first one to announce this kind of product. Most of us, we have similar type of products including us already in place. So this is not going to drastically change the market. A few things apart, so this really is suited best for those, let’s say almost Southern European areas where there is some kind of winter conditions, we have short during the winter time. And that’s where we are promoting the product as well. Our retail wholesale customers but especially retail customers are not promoting this product too much because in their case it reduces customer visits from 2 to 1 to their outlets. And so, this is not going to play most probably a very important kind of part of the whole market. It’s going to be anyway more expensive than for example standard summer tyre.
Thomas Besson: Okay. Changing topic, can you comment on the development of your working capital please? Your receivables are down materially year-on-year. Your inventories seem to be stable. So can you explain the development of receivables, is that linked with the delay in the winter tyre shipments and can you comment on the absolute level of inventory that you have on your balance sheet?
Ari Lehtoranta: Yes, of course the lower sales I mean slower receivables. Our inventories are actually on the higher levels than last year. So we are preparing now for the winter season like understanding logical now in this situation then there is a delay that we will be ready for the season. And that explains basically the inventory retail develop.
Thomas Besson: Okay. I have one last question. Sorry. And I have asked a lot of them. Can you update us on the timing of the resolution on the tax disputes, if you have any update on that front please?
Ari Lehtoranta: Yes, the only thing but it’s more difficult to estimate than the Russian economy is finished tax authorization.
Thomas Besson: It’s the same every year. Thank you very much, Ari.
Ari Lehtoranta: I expect however that most of it will be here about 10 already this year.
Thomas Besson: Okay. Thank you very much.
Operator: Thanks. The next question comes from Mr. Hanen Kurseman at HSBC. Please go ahead.
Hanen Kurseman: Yes, thank you very much. I also have a few questions and I will also ask them one by one if that’s okay. First of all, can I balance my estimate for my passenger car tyre revenue bridge off of you? I’m sort of implying here that volumes were down by about 12%, price up 1% to 2%, mix about up 1% and currency down about 2%. Does that sound roughly right to you or am I making a bigger mistake here?
Ari Lehtoranta: Volume wise I said that we are about 10% down. The different elements, there was a bigger negative impact from currencies and bigger positive from the mix.
Hanen Kurseman: Okay. Okay, that’s helpful. Thank you. And then, I appreciate the quantification of the guidance, but it’s still a fairly wide range. So could I just understand a little bit better what will bring us to the one or other end of the range? Is it mainly the summer inventory level that’s really low now and it will fully depend on whether the effect will be as strong as you’re expecting it in Russia in the fourth quarter or what are the uncertainties related to the range of the guidance?
Ari Lehtoranta: Okay. So the summer tyres will not have bit material impact to any direction. We are pretty confident that our plans will be there, there might be some even positive upside on that side. But it’s mainly the season and actually the second big question mark is still the overall caution economic situation we have seen. The fluctuation in the last few weeks for example what comes to the ruble and then therefore their purchasing power and therefore all the retail segment. So that is one big thing. And then as for Central European season, those are the main biggest two things.
Hanen Kurseman: Okay, sure. So I mean when I look at your operating profit, it was down basically 20% in the first half and then the sort of mid-point of the guidance implies up about 7% to 8% in the second half. So I’m just trying to understand how much of a recovery is priced in or what kind of currency level is priced in. Should we really be thinking about the mid-point or where exactly are we in terms of your assumptions for that guidance range?
Ari Lehtoranta: Yes, if I would be guiding you now to the mid-point then we will have given you guidance to the mid-point. The range rate is front end and we’re going to be ending up in one part of that range. So that’s maybe what I can say.
Hanen Kurseman: Okay, okay, fair enough. I’ve got two more. One very simple, on the current run rate of production and sales currently for Nokian in terms of millions of units of tyres?
Ari Lehtoranta: We are not saying exact millions but we can say that we’re clearly not using our capacity which at the moment is about 18.5 million.
Hanen Kurseman: Okay. Okay, thank you. And the last question then on the mix. Did I understand that right that you said the largest 17 is now about 15% of the Group or was that only for Russia? And could you help us as to where the premium tyre mix should develop over the next few years and what kind of a mix impact on revenue you could be expecting from that development?
Ari Lehtoranta: Yes, I think that what I would say is that clearly we now see that the summer tyres for us, is a good opportunity. And we have now found a way that we don’t we can boost it while we are boosting up the winter tyres so that it doesn’t dilute the margins. So we need higher premium summer tyres to kind of be on a profit levels but we are well on our winter tyre side. And maybe coming back to your first question then, reminding that of course we have now two quarters from last year now in front of us where the comparison both what comes to currencies and the overall levels are kind of supporting our risk quarters in comparison.
Hanen Kurseman: Sure. So can I just confirm 15%, is that about the share in the Group of larger 17 interim rim sizes now?
Ari Lehtoranta: No, we have not communicated that. I only would say our summer tyres now we’re 35% of the overall sales in the second quarter.
Hanen Kurseman: Sure. Okay. Thank you very much for your answers.
Ari Lehtoranta: Thank you.
Operator: Next question comes from Mr. Ashik Kurian at Goldman Sachs. Please go ahead.
Ashik Kurian: Good morning. Thanks for taking my questions. I will probably ask I’ve got a couple of questions. The first one is on North America. When I try to back out your second quarter sales, it seems like the volumes would have been down in North America. Could you possibly comment on the quarterly development as to North American sales you are having and what we should expect for the full year?
Ari Lehtoranta: Yes, full year we would probably see about the same as what we’ve seen so far in the first half. And we’ve been receiving second quarter, is so far summer tyre see some interest up of the delivery clearly in the first quarter.
Ashik Kurian: Okay. And can I ask what the raw material impact - sorry, I can’t seem to be hearing you properly. Hello?
Ari Lehtoranta: I continued talking over, so it’s responding to add to my answers. For now the winter situation of the America is very good in winter.
Ashik Kurian: Thank you. The next question is on raw material. So can you give us what the raw material benefit was in the second quarter? If I remember it right, you said in the first quarter it was over €10 million. And so where are you now for the first half and are you now pricing in a headwind for the second half?
Ari Lehtoranta: Yes, that’s exactly what we are doing. So we are now already over €20 million returning back somewhat in the second half.
Ashik Kurian: Okay. And the last question is on the price mix development. When I try to do this on a quarterly basis, I actually have a step down in price mix from Q1 to Q2. Can you confirm that your pricings probably remained at similar levels between Q1 and Q2 and it’s the mix that’s probably taken a downturn in the second quarter?
Ari Lehtoranta: We have one specific thing in prices that we’ve been doing with our commercial terms. And if you really look at Q1, then the price development is not different between the two quarters. We need to look at third quarter to really have the feeling about the margin and the first half provides development, the local price development has been very good.
Ashik Kurian: Thank you.
Operator: And we have a question from Mr. Nikhil Bhat at JPMorgan. Please go ahead.
Nikhil Bhat: Thank you, this is Nikhil Bhat from JPMorgan. I just have two questions left, first one being both on your Finland restructuring plans actually. One, what is the expected cost that we should see from the plan that you are about to embark on in Finland and should we expect this cost to come in the third quarter? And secondly, by how much are you expecting to reduce the annual production in the Finland factory once you go ahead with this plan? Thank you.
Ari Lehtoranta: Yes, Finland in a way has bigger flexibility and lower cost for the employment flexibility as most of the others. And therefore the costs are not significant. There would be split between this year and next year, so no real impact to the figures. And the capacity, I said that will go down 0.5 million with this arrangement.
Nikhil Bhat: Okay, thank you.
Operator: Next question comes from Mr. Austin Earl at Marshall Wace. Please go ahead.
Austin Earl: Hi, good morning everyone. I have a few mainly clarification questions. The first is, in your speech you talked about Russia being worse in the second quarter than the first quarter. In the slides that you provided, for example on slide 3, the first quarter you had Russia down 20% and then in the second quarter it says minus 15% to 20%. So I’m a bit confused why you are saying the second quarter was worse than the first?
Ari Lehtoranta: Yes, I mean, I was talking about this verse, I really meant this economic situations so that, for example, using this example that the cross-national product went almost 5% in second quarter and when in the first quarter it went down 2.2%. Also the retail decline was certainly higher in the second quarter.
Austin Earl: Okay. And then also in your speech, you were talking about the sell-in and then the sell-out being worse than the sell-in. But in terms of your revenues, I don’t know if this is for the group of Russia specifically, are you recording revenues on the sell-in or the sell-out?
Ari Lehtoranta: Sell-in naturally sell-in but there is always a link. And at the end of the day, the most important thing for you is the sell-out because if the sell-out doesn’t happen, it will hit you in the sell-in at some point not too far in the future.
Austin Earl: Okay. Then again, so I’m just clarifying statements. So in the Q&A, there was a question, I think the A and B versus C. And were you saying that the A and B is now 25% and the C is 75%? Is that for the market or for Nokian, I assume that’s for the market.
Ari Lehtoranta: Pressure was here between the B and A segment.
Austin Earl: Okay.
Ari Lehtoranta: We had this 25% to 75%.
Austin Earl: So, the B is now 75% and the A is 25%?
Ari Lehtoranta: Yes.
Austin Earl: Okay, understood. Again then there was a point you were making about currency when you were saying that half of the FX losses are made up in export. So am I understanding so what you’re saying is if you lose €2 million of EBIT on the currency translation, you make up one of that on transactions from exports?
Ari Lehtoranta: I said it’s a little bit different but the impact is the same, so what we lose in fail the cost after ramp-up, we get half of it back in the cost side. So, we get the kind of 50% impact from the currency impact back on the course of side.
Austin Earl: Got you. And then maybe one final question, just the question about the Michelin’s new CrossClimate product, are you saying that, let’s say, for the German market you have a product that meets legal requirements in terms of being a winter tyre and a summer tyre product?
Ari Lehtoranta: Yes, it is, yes, it is. This product has this up the snow, with this kind of A plus A, it’s kind of mild diverse and off the winter tyre legislation. It’s not the proper winter tyre, if there is a proper winter condition it’s going to be quite sensitive tyre for that kind of environment. Therefore it’s going to be suited for mainly South European, maybe South German environment provided that you don’t spend any time at mountains.
Austin Earl: Okay, understood. That’s great. Thank you very much for your answers.
Ari Lehtoranta: Thank you.
Operator: Next question comes from Ms. Sheila Weekes at Bank of America. Please go ahead.
Sheila Weekes: Good morning. Thank you for taking my questions. Just three from me please. Firstly, just a clarification point, the connection was a bit bad. Do you mind just repeating for the passenger car tyres what the overall impact of volume, price and mix was in the quarter? And then secondly, in terms of looking at your competitors in Western Europe and the price increases that have been announced, given the timing coming after the sell-in session, when do you think we’ll get some visibility in terms of whether these price increases are going to be sticking? And then lastly…
Ari Lehtoranta: Can you break a while, I start forgetting the questions.
Sheila Weekes: Okay, no problem. Sorry.
Ari Lehtoranta: So, the first question was about this price and then currency. So what I would say is that the biggest impact was from, in the first half was from the currencies. The range where the currency negative impact is something like 6% to 8%, and then half of that we got back from the improvements in the mix. And then their prices were actually reasonably stable at the local price exchange.
Sheila Weekes: Okay, thank you.
Ari Lehtoranta: Then you see, there are lots about this timing of the price increases. And the new lease prices will be available. If you think about the new lease prices for the winter tyres would be available in October. At that point in time, your winter tyres have been basically ordered. So it has very little impact anymore to this particular season. So, therefore it really impacts the next year. But naturally there is a good indication and typically when you said that milestones in October the prices will go up. It will start pushing I would say some retails to start ordering your products. And we clearly saw that in June we started to see earlier than what in May already winter tyre orders in Central Europe. But when this was this put in ground, then in June we started to see that the orders, winter tyre orders started to come in.
Sheila Weekes: Okay, thank you. And just lastly, looking at the U.S. market, obviously the overall replacement tyre sell-in volumes have been impacted by the changes in the tariffs on the budget Chinese tyres. When looking at some of the higher-end segments where you’re competing, what are you seeing volume growth as for the market in your sales to North America?
Ari Lehtoranta: Yes, I think that they would be kind of reflecting the same kind of development than elsewhere that if you have let’s say 3% to 4% new cost sales growth, your tyres will be about the same or a few percentage higher or slower depending on the kind of seasons the non-inventory levels. So there will be of market growth this year in North America for the tyres. It’s not anymore going to be kind of significant but there will be few percentage growth maybe even up to 4% to 5% levels.
Sheila Weekes: Thank you.
Operator: Next question comes from Mr. Edoardo Spina at Exane BNP. Please go ahead.
Edoardo Spina: Good morning. Thank you for taking the questions. I have three. I will start with the one on the mix because you mentioned positive mix but I struggle to understand where it comes from. I think that the share of Russia is lower for you. Within Russia, you should have had a negative impact from A versus B. And lastly the share of summer tyres should also be increasing. So I just want to understand if any of this is actually a positive or I’m missing also of course any other driver?
Ari Lehtoranta: This mix issue is a complicated one because you have this, but at least five dimensions where you have the mix you have the summer tyre, winter tyre mix. You have A and B mix. You have a sized mix. You have a geographical mix, maybe few others as well. And all of this impacts. And when we say and we’re not going to speak that which particular mix impact, for example in this kind of premium summer tyre sales improves your mix possession. So you’re selling bigger sizes, you’re selling your premium product, so that has been very positive. We have been, one thing that we have impacted positively also our mix situation in Russia is that we had two different products earlier in the, across from winter tyre segment. We have kind of lower and higher B segment product. And we removed that lower B segment product, it was an old product and then that has kind of impacted positively to the mix. But clearly, our premium summer tyre segment has been one of the main reasons where we have seen the mix impact. So we have been selling less small size SUV summer tyres than we’ve been selling earlier compared to the premium SUV summer tyres.
Edoardo Spina: Okay, thank you very much. And so for the summer, you mentioned of course it’s a very interesting opportunity. We’re looking forward to the Capital Market Day. May I just ask if it is conceivable that you are testing assumption whether to maybe invest in the summer tyre more directly in terms of R&D or other things, not necessarily capacity?
Ari Lehtoranta: Yes, I think the answer will be that we are not going to relatively most probably have a bigger share of sales from the summer tyres. But in order to make sure that this year doesn’t decline, we will need to grow all substantially in the future, the summer tyre sales like we have been doing now, 50% growth is a very fundamental. We will be doing some investments but nothing remarkable in our figures for the summer tyres. And we will be talking about those in the kind of emphasis.
Edoardo Spina: Thank you. And very last one on the guidance for second half by quarter what you guide for, yes, implies still a bit of a step down year-on-year. Is it because you think the third quarter will be quite low even from de-stocking or what you said about sell-out, sell-in or am I wrong to think the third quarter would be really maybe the lowest one?
Ari Lehtoranta: I think that’s in comparison I think your question points to the right side, when you think about now that we are more depending on the season. We will see that the seasons this will actually happen in the season. And then we remember the summer tyre comment I made about the Russia that we see that very positively. In comparison to the previous year I think that the fourth quarter will have a bigger rate.
Edoardo Spina: The fourth quarter so will have a bigger, fourth will be a bigger rate as in declines or I didn’t understand. Sorry.
Ari Lehtoranta: Fourth quarter will be more positive in comparison to last year than third quarter.
Edoardo Spina: Perfect. Thank you very much.
Operator: Next question comes from Mr. Gaetan Toulemonde at Deutsche Bank. Please go ahead.
Gaetan Toulemonde: Yes, good morning. It’s Gaetan Toulemonde from Deutsche Bank. I have just one clarification. On page 3 you mentioned that the Russian sell-in market is down between 15%-20% in the first half and at the end, page 20 or so, when you gave guidance for the full year, you guide for the Russian market to be down 20% to 25% for the full-year. Do I understand well that the second half should be significantly worse than the first half?
Ari Lehtoranta: Yes, yes, that’s the calculation. And I explained that in this kind of situation the summer tyres, actually the summer tyre season is in comparison not that bad. Winter tyres in Russia will be more dependent on the new car sales new cars come with summer tyres, it’s not kind of Russian tyre market. That’s often and then every new product we’ll buy typically the winter tyres. So that’s one part of the explanation. Also there are kind of inventory issues that impact little bit of competition situation that impacts that winter tyre market will unfortunately be a bit more, worse than summer tyre.
Gaetan Toulemonde: Okay, thank you.
Operator: There are no other questions at this time. Please go ahead, speakers.